Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust's Second Quarter 2014 Results Conference Call. [Operator Instructions] This conference call is being recorded on Wednesday, August 6, 2014. A press release with New York Mortgage Trust's second quarter 2014 results was released yesterday. The press release is available on the company's website at www.nymtrust.com. Additionally, we are hosting a live webcast of today's call, which you can access in the Events & Presentations section of the company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in forward-looking statements are based on reasonable assumptions, it can give no assurance that expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release, and from time to time, in the company's filings with the SEC. Now at this time, for opening remarks, I would like to introduce Steve Mumma, Chief Executive Officer and President. Steve, please go ahead.
Steven R. Mumma: Thank you, operator. Good morning, everyone, and thank you for being on the call. Today, I have Kristine Nario, our newly appointed CFO, joining me. Prior to May of this year, we had an out -- we had been outsourcing our accounting function to RESIG, but given our growth and increasing accounting demands, we've found it more economical to completely internalize in our accounting. We will continue to use RESIG in our tax services' needs. Kristine and I will be available for questions at the end of this call. The company released its second quarter results after the market closed yesterday and included in the press release, were several tables that we've been including historically, that I will be referring to during this call. Our investment portfolio delivered another successful quarter, generating net income per share of $0.34. The company's earnings during the quarter benefited significantly from continued price improvements for credit assets, specifically our multifamily CMBS, as it appears a greater number of investors have recognized the value of this asset class. In addition, the company produced record quarterly net income of $30.3 million and performed in accordance with the design objectives we have established several years ago, which is to deliver stable distributions to our stockholders over diverse economic conditions. We closed one accretive capital raise during the quarter, raising approximately $110 million, bringing total accretive capital raise for the year to $186 million. We continue to focus our investment strategy in credit-sensitive assets, including distressed residential loans and the multifamily sector. More recently, the focus in our multifamily strategy has been towards direct investing, as compared to Freddie Mac K-Series credit securities, as the pricing and competition for these securities has led to less attractive returns relative to other opportunities. We are working with our external manager, RiverBanc, which we owned 20%, to build out a focused strategic partner that will supply direct equity investments in the multifamily transactions, while NYMT would benefit by supplying the preferred and mezzanine financing for these similar transactions. Many of these properties end up with a senior Freddie Mac qualified loan, which will ultimately be securitized into Freddie Mac K transactions, which we have extent knowledge on these types of businesses. NYMT benefits in 2 ways: increased possibilities for preferred and mezzanine investing, as well as increased valuations for RiverBanc, which is the external manager for the new platform that we're supporting. As I've discussed many times in the past, the importance for innovative financing solutions to our -- to fund our portfolio is a critical component to our success, both in profitability and risk management, when investing in credit-sensitive assets. One avenue we were pursuing was a membership in the FHLB. As you may know, certain of our competitors are currently members, while several others were in the process of, as well as other nonfinancial bank institutions are seeking membership. In June, as others were told that a temporary hold was placed on all new captive insurance membership applications to the FHLB for approximately 90 days. This hold was to -- this hold was said to allow the FHFA time better to assess the perspective new members and their impacts on the FHLB system and the overall banking system. We, ourselves, were in the final stages of approval and are hopeful for a positive outcome after the FHFA completes the review, and we should have more information by the end of the third quarter. The FHLB membership would give us access to financing that is more dependable, greater flexibility in maturities and a partner that is focused solely on supporting its members, which has always been a conflict when borrowing directly from our current financial partners. Asset gathering during the first 6 months continues to be difficult, as competition for yield in capital allocated and credit-sensitive assets seems plentiful. While this has a positive side effect to our existing portfolio, the incremental additions become more challenging. We continue to be very diligent in investing our capital, focus on our core strategies that we believe will perform both in today's environment, as well as the expected changing environment that is coming in the future. Some of our second quarter highlights. We had net interest attributable to common stockholders of 30. net -- I'm sorry, net income attributable to common stockholders of $30.3 million or $0.34, as compared to $11.2 million or $0.19 per share for the quarter ended June 30, 2013. Our net interest income rose to $19.9 million for the quarter, an increase of $6 million over the quarter ended June 2013, and $5 million to the previous quarter of this year. Portfolio to net interest margin increased to 460 basis points, as compared to 439 basis points the previous quarter, our fourth consecutive quarter of increased portfolio margins. We declared a second quarter dividend of $0.27 per common share that was paid in July 25, our 9th consecutive quarter at $0.27 per share. Book value per common share increased to $6.83 at June 30, 2014 from $6.48% per common share in March 31, 2014 or a 5.4% increase. Book value has increased $0.50 per share since December 31, 2013 or 7.9%. Our economic return, which is the total of the change in book value, or $0.50, accumulative for the year and common stock declared for the year, which is $0.54, divided by the previous end of year book value, totaled approximately 16.4% through June 30, 2014. Our net interest income was $19.9 million for the quarter and $39.7 million for the 6 months ended June 30, 2014, both records for the company. Our net interest margin improved by 21 basis points as compared to the previous quarter, with asset yields up 20 basis points and our liability costs down approximately 1 basis point. As we continue to add to our credit assets, as compared to our lower-margin Agency portfolio, the asset yields should continue to rise on a relative basis. Asset yields on our Agency portfolio, including our ARMs, fixed-rate securities and IO portfolio decreased slightly from the previous quarter, due mostly to an increase in CPRs. Overall, the MBS portfolio averaged 10.1% for the quarter, up from 8.8% the previous quarter. July's fees have averaged approximately 13.4%. A combination of seasonal factors, as well as slightly lower mortgage rates, can be attributable to this increase. We would expect our prepayment fees to be ranged around between 10% and 15% for the remainder of the year for MBS portfolio. Included in our press release is a table listing the CPRs by investment category for the last 6 quarters. Also included in our press release is a table of details: average earnings assets; portfolio of asset yields; liability costs, net of hedging; and net interest margin. The company continues to invest capital and reinvest MBS runoff in the credit-sensitive assets, which we believe will deliver the best overall returns to our shareholders. Total other income increased by $17.2 million and $24.2 million for the 3- and 6-month periods ended June 30, 2014, as compared to the same periods in 2013. An increase -- these were primarily driven by an increase in realized gains on our distressed mortgage portfolio of $0 in the second quarter and $8.1 million for the 6-month period ending June 30, 2014. The realized gains are derived from loan refinancings, workouts and resales, with the majority of the realized income and assets from the loan resales during the first quarter of 2014. Income generated from distressed residential loan workouts and resales was lower in the second quarter of 2014, as compared to the prior quarters, primarily as the result of a lengthier due diligence closing process from the buyers. Because each buyer's due diligence requirements differ, income generation from workouts and resales of these types of loans remains challenging to predict and may be uneven from quarter-to-quarter. An increase in net unrealized gains in our multifamily loans in debt held and securitization trusts of $11.8 million and $8.9 million for the 3 and 6 months ended June 30, respectively, as compared to the same period in 2013, were driven by improved pricing in our multifamily CMBS investments. An increase in realized gain on our investment securities and related hedges of $9.8 million and $15 million, partially offset by increases in unrealized losses on the same categories of $3.3 million and $7.5 million for the 3- and 6-month period on June 30, contributed to the increase in other income. Our Agency IO portfolio performed better in the second quarter of 2013 as compared to 2013, due to a lower interest rate and volatility and relatively low prepayment fees. Also included in our earnings release is a table detailing our general and administrative and other expenses for your review. The increase in general, administrative and other expenses was largely attributable to an increase in management fees, expenses related to our distressed residential loans and salary, benefits and directors' compensation. The increase in base management and incentive fees was driven largely by an increase in assets under our shareholder managers, as well as the improved asset performance by the external managers, generating solid returns to our current stockholders. The increase of expenses related to distressed residential mortgage loans is due to the increase of investments in its asset class, as compared to the same period in 2013. The distressed residential mortgage loan strategy typically has higher costs, including servicing and resolution expenses related to the refinancing and refill of the loans. The increase in salaries and benefits and directors' compensation is directly attributable to the internalization of our company's accounting function and as we would expect professional fees to decrease over time. Included also in our press release is the capital allocation table that we typically provide, which distributes [indiscernible] and discloses the equity allocated by investment silo. As you can see, we've continue to focus on investing in credit assets, including multifamily loans and securities, residential distressed loans and other possible residential opportunities. The company's decreased leverage in our MBS portfolio was the result of utilizing some asset excess liquidity. Over time, as we complete our build-out of our credit assets, we would expect our Agency portfolio leverage to approximate 7.5x leverage, which is consistent historically with what we run. Since the end of last year, demand for credit assets has continued to exceed supply, favorably impacting our current portfolio, CMBS, distressed loans and CLO investments. The side effect to this is to create a more challenging environment for new investments. We have and we will continue to maintain a disciplined approach to our new investing. And that has served us well over the -- and this has served us well over the course of the last several years, by deploying capital to assets that satisfy our longer-term investment objectives. Thank you for your continued support. Our second quarter Q will be filed on or about August 8 with the SEC and will be available on our website. Operator, if you would please open the call for questions. We'd be happy to answer any.
Operator: [Operator Instructions] Our first question comes from the line of Steve Delaney from JMP Securities.
Steven C. Delaney - JMP Securities LLC: Very solid quarter, especially the significant gain in book value, the $6.83. So congratulations, you put up another good quarter. It seems the focus, the thing we need to talk about strategically, that is most clear and present, would be the multifamily whole loan strategy and preferred equity. Looking at the allocation table, the $419 million of assets in your multifamily category, are there any such, what I would -- multifamily whole loans, mezz loans in that $419 million, as we look at it today?
Steven R. Mumma: Yes, there is, Steve. There's approximately $40 million in the loans in there. We are -- as you can imagine, it takes probably 12 to 16 weeks to close many of these loans. So -- and we've had several loans unfortunately fallout in the pipeline that we would -- probably we're going to close, and that's for various types of factors. But that is a section that we have increased. Kevin's brought on additional staff in RiverBanc, and that is clearly a focus on what we're trying to add as an asset class, as we go through the remainder of the year.
Steven C. Delaney - JMP Securities LLC: Any idea that -- I know this is -- it's early on but I mean, is your goal for this for it to be fairly meaningful, something on the order of, say, a couple hundred million dollars? Or do you think that's too ambitious to set that kind of goal over...
Steven R. Mumma: It depends on your timing. I mean, we would like to think that we could add between $25 million and $50 million a quarter in loans. I mean, that's what we are prepared to finance from their pipeline. What we don't want to do is jump on a large loan just for the sake of grabbing one property and increasing the assets. So I would say our typical investment asset is between $5 million and $15 million and has averaged less than -- it's averaged about $7 million, to date. As we've grown our capital base, we look a little bit of larger investments. But I would say the general property that we're looking probably has a total value of between $20 million and $30 million, where we're going to participate between 7% and 10% of that capital structure in the financing. And that would be your typical mezz and preferred loans that we would participate in. We're very excited about this new adventure that we're supporting, where Kevin's going to have a new platform and he'll provide direct equity into the transactions, which will give us some additional availability to invest in we believe, as well as build out the valuations of the RiverBanc to manager.
Steven C. Delaney - JMP Securities LLC: And Steve, did I understand you to say that as you're talking to borrowers, these multifamily borrowers, that some of these, say, mezz loans that may be created, did I understand you to say that there might be a first mortgage opportunity in that relationship as well, that could then be sold into one of the GSE multifamily programs?
Steven R. Mumma: Yes, today, Steve, I don't think we would be a first mortgage originator. What we would be doing is introducing that investor to a first mortgage originator through our relationships with those originators, as well as with Freddie Mac. So there's opportunities that we see, given the multitude of investments that we own across the K-Series. We have approximately $10 billion of multifamily properties, under our K-Series securities. So we have an extensive knowledge of managers of those properties, that they are constantly in the market buying properties. So we think there's some opportunities there, with relationships that we'll be able to garner more attention by being able to provide the entire capital stack, either directly or indirectly through contacts.
Steven C. Delaney - JMP Securities LLC: Oh, that's helpful. So you'll serve as a broker, because I didn't understand. I didn't think you currently had a just [ph] license.
Steven R. Mumma: No. Yes, we would not be originating. Exactly. We will not -- we don't have a license to originate, and we don't anticipate getting one.
Steven C. Delaney - JMP Securities LLC: Great. Okay. And just one final thing. And I appreciate you updating us from just at least mentioning your desire to enter the home loan bank and I know those -- that situation is tenuous and fairly sensitive right now. But can you offer any color, just from which you assume your ongoing dialogue with this specific home loan bank that you were talking to, do you have any color for us because this is a broad issue that affects our whole industry? Is this a sort of the FHA is looking at this as sort of an all-or-none, right-or-wrong thing? Or do you get the sense that they just want to step back and look at it and maybe move forward with certain conditions or limitations applied? I guess, I'm trying to figure out is this binary. It's either yes or no, or it's more of a maybe, if kind of scenario.
Steven R. Mumma: That would be -- I mean, I'm happy to give my personal opinion on that. I don't have any direct knowledge of what that is. Our lawyers who have extensive knowledge with this process has opinions also. I think one of the things that the FHFA is grappling with is an increased membership application, that have come over the last 6 months. And there's no question that certain parties have identified nonbanking entities as being the majority of these memberships. So that, I think has raised some concern with the FHFA. I think what they have to grapple with, though, is there is a history of nonbank members in the FHLB. So in some of those nonbank members are subsidiaries of larger banks that are -- larger banks that are in the federal system. So it's not simply to say, I don't know how -- I don't think it can be all-or-none, just because they have a history they have to deal with. I think what they're trying to make sure is that the FHLB system has sufficient knowledge of the member, the new applicant businesses, that they don't introduce risks that people aren't comfortable with. And I'm hopeful they can get over that, because I think the types of counterparties that we would love to have would be an FHLB counterpart, because they do take some of the pressure off of us borrowing from providers that have other businesses, that put pressure on the lending business to us indirectly, that have nothing to do with our business model. So that is something that we look forward to hopefully getting into that system.
Operator: Our next question will be coming from the line of Mike Widner from KBW.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: So my first question's going to be a real simple and probably stupid one. But I'm looking at just the 2 tables that the -- let me see, the first table, you've got a carrying value of the multifamily stuff at $419,500. And then if I go over to the, I think, it's the fourth table, you've got multifamily at $402,000 (sic) [ $402,638]. I'm just -- I mean, actually, it's just sort of a simple modeling question. But I'm trying to understand why those 2 are different? All the other ones are sort of line up?
Steven R. Mumma: Yes. The difference -- it's not a stupid question. It's the complexity of our accountings' world. So in the table, the second table, the yield table, we have some assets that are considered, for accounting purposes, non-yielding assets. We have to account for them on the equity method, because of the ownership interest that we have in them. So even though they drive the interest-type outcome for income, we account for it as the equity method. So there's approximately $17 million of those type of investments. That's what the difference is. So because in the yield table, what we're trying to depict is actually assets that we account for above the line, in net interest margin. That's -- so there's some assets that are part of other income, which would be the difference between $402,000 (sic) [ $402,638] and $419,000 (sic) [ $419,515].
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: Yes. No, that -- I think that makes sense. And so as I think about then, 12% yield, I should think about that relating to that $402,000 (sic) [ $402,638] and then there's some equity, effective equity yield, I guess, if you will, that's going to flow hopefully as it comes in flow through, basically unrealized gains on the other $17,000.
Steven R. Mumma: And understand when we categorize that from an accounting standpoint as equity, it is actually an interest-bearing investment, but because of our owners, because of the relative percentage of preferred to the common equity, it has to be accounted for as equity. It's an accounting quirk that forces us to do that. So in our mind, it's a fixed income asset. It is generating fixed income-type activity, but from a GAAP accounting standpoint, it does not generate fixed income-type activity. It will be within the same parameters as that yield is there.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: Got you. Okay, great, appreciate that. So I guess, a different question. You sort of characterized the investment environment today. I don't want to put words in your mouth, as being sort of a little tighter. I mean, there's a lot of bids out there for assets, and it's harder to find high -- attractive high-yielding assets relative to, say, a year or 2 ago. So with that said, where do you see leveraged ROEs, whether you want talk about it pre-expense or post-expense? I mean, either way -- where do you see that today on dollars you're putting work today?
Steven R. Mumma: Look, I mean, one of the things that we focused on is the distressed residential loan market, and we know there's multiple ways to accumulate these loans. We can accumulate that in $1 million to $5 million and $10 million blocks, so we can go out and bid on a $150 million to $200 million pool. The difference in pricing in that is 10 to 15 points, because the $100 million pool has 30 people bidding on it. The $1 million to $5 million accumulation, over time, is relationship-driven. It slows businesses that we have in place with partners, that affords us opportunities to accumulate loans at much higher returns. Well, it allows us to focus on assets where the return is coming mostly from the assets and somewhat from leverage, as opposed to mostly from leverage and a little bit of the asset. So to the extent that we can continue to generate those types of activities, we will pursue that. If we need to bid more aggressively on larger block loans, we have to get a better financing execution in terms of either securitizing and selling it into the marketplace, or getting lines of credit in place with all those lenders that are -- have better rates, because we just can't generate those yields. So we are comfortable that we can continue to accumulate loans in the multifamily space and loans in the distressed residential space on a levered -- on a comfortable secured levered basis, that will generate 13% to 15% yields consistently.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: 13% to 15% leveraged yields?
Steven R. Mumma: Yes.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: And is that sort of post-expense or pre-expense you're talking about?
Steven R. Mumma: That would be -- we would target post-expense, keeping in mind that some of those expenses would depend on exit strategies, the incentive fees paid for both the distressed residential loan and the multifamily are not based on unrealized activity. They're based on realized activity. So the expenses could jump to the extent that we have sales, but, yes. The total rate of return of loan in that investment, that's what we would anticipate, net expenses to our shareholders.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And so I guess, when I try and sort of put all the pieces together here on thinking about how the income has generated and different pieces going forward, I guess, the question I'm wrestling with is still your REIT. So you looked, long ago, a lot of the other REITs and everyone sort of focuses on core income. And for you guys, that's a little trickier concept, because so much of the dividend and the total return is based on gains. But from sort of a core net interest spread income, obviously, you guys are -- it's something well below the $0.27 dividend.
Steven R. Mumma: That's correct.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: And so how should we think about that? And again, if I think about that $0.27 dividend, that's about a 15.7% ROE sort of equivalent. If you want to support that, you need to generate about a 15.7% ROE, regardless of what form the income sort of takes. So I guess, how should we think about that, against the potentially more challenging environment, to get investments that generate that kind of yield?
Steven R. Mumma: No, I think -- well, I think if you look at the types of assets that we've accumulated over the last 2 years and you look at the gains that we have in our portfolio and to think about the distressed residential loans is not mark-to-market, so there's really no book value and/or earnings benefit from the appreciation of the loans, based on the way we account for those activities. We think we have realized gains, generated some possibilities, that we can hit targets in terms of what we want to hit, to deliver to our shareholder, as well as continue to maintain a portfolio that we think can go in the future and maintain the pay rate that we're paying. We're hopeful that the dividend yield goes down with the stock value increase, as opposed to we think that the 14% is too high relative to where our stock is trading. But we're comfortable -- we have been comfortable since we've had 9 consecutive dividend payments of $0.27, that the pay rate is somewhere in a range that we feel very good about.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: Yes. That certainly makes sense. So I guess, just one final one, if I may. You mentioned having the sort of realized gain potential. I mean, one of the things that we like to do, across companies, is to sort of quantify what that is. I'm struggling sort of going through the stuff you disclosed here, I mean, I might find the information in the Q, but in here, I can't seem to find a way to back into what that unrealized, not already flow-through the income statement gain or potential gain is. So I'm wondering if you could quantify that? Or if I've got to wait for the Q?
Steven R. Mumma: Yes, I mean, I think you need to wait for the Q actually, Mike, and I think the thing to recognize in the distressed residential loan world is that the fair market value we go through and do a -- there is a fair market value disclosure in the footnote, that talks about the difference between the purchase price and the fair market value of the loans. And then when we go out to market these loans for sale, it's very difficult marking these loans until you go out and get a real bid. So there is some noise in those numbers, but that's really where you would see the difference in the distressed residential loan. And then as we look at the multifamily, those all are -- all the multifamily are marked, so you can get those in the financials and you should -- you can get that from the press release. But those -- some of that goes through equity and some of that goes to our earnings. And the reason we have a dislocation of that is there is certain multifamilies that we have to consolidate and just for ease of accounting, we've elected to mark-to-market those through the income statement. The other ones go through the equity of the company, and those are the ones related that we don't have to consolidate. But it is a -- we have such a challenging accounting environment for us, in terms of understanding our business, but the main theme of our business is net interest margin is only one piece of our business and identifying asset opportunities that result in capital gains is another large part of our business and has been for the last 2 years.
Michael R. Widner - Keefe, Bruyette, & Woods, Inc., Research Division: No, absolutely, and we certainly appreciate that about you guys and the challenge -- the accounting challenge from our side, as analysts, is just to make sure we have a grip on what those different components are and -- but particularly, if we go into that multifamily piece, I mean, that disparity where some of the assets are marked through income and some are marked through AOCI makes it very challenging to sort of disassemble the pieces.
Steven R. Mumma: In a perfect world, I wish I could tell you that we're going to do $20 million of realized gains and $5 million a quarter, but the reality is it's going to be dependent on opportunities of selling and it's going to be also dependent on being able to close the transactions. And we've had a purchase that we've been working to close since June. We hope to close it next week. And it just takes a lot of due diligence when you're buying loans, as you can imagine, in this world of litigation. That not only the seller is concerned with litigation, we, as a buyer, are concerned with the transfer of litigation. So we want to make sure we cross our t's and dot our i's more. Doing a lot of these transactions, it just takes a lot of time. And we think time well spent, but nonetheless, it's frustrating when you're trying to deliver consistent earnings from quarter-to-quarter. I absolutely understand that.
Operator: [Operator Instructions] Our next question comes from the line of David Walrod from Ladenburg.
David M. Walrod - Ladenburg Thalmann & Co. Inc., Research Division: Pretty much, you've been through all that I had. Just one, I guess, kind of broader thought or question. I know you've talked about expanding in the multifamily, what you're doing there. Any other asset classes, given the challenges that you've had deploying the capital? Any of your asset classes that your eyeing, that might be -- likely to generate more attractive returns?
Steven R. Mumma: Yes, look, I think we would love to be more active in buying residential loans outright. I would not -- we don't really see a tremendous amount of opportunities doing securitizations right now for us. I think if we could get other financing avenues, there are certain loans that we could invest in, and that would generate returns that make sense for us. And we need to wait and see how that plays out over the coming quarter. We're constantly in discussions with a multitude of residential-type activities, that could possibly generate the returns that we look for. It just takes a long time to divest these and see where the opportunities are. But they're primary around residential loans and lending and whether we want to enter in that market.
Operator: And at this time, I'm not showing any further questions.
Steven R. Mumma: All right, operator, thank you very much. At this time, I'd like to close of the call and thank everybody for participating in the call, and we look forward to talking about our progress in the third quarter sometime in early November.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may, all, disconnect. Everyone, have a great day.